Operator: (Operator Instructions) Welcome to the La-Z-Boy Inc. Fourth Quarter and Year End Fiscal 2008 Conference Call. It is now my pleasure to introduce your host Ms. Kathy Liebmann, Director of Investor Relations and Corporate Communications for La-Z-Boy Inc.
Kathy Liebmann: Thank you for joining us on this mornings call to discuss our fiscal 2008 fourth quarter and year end results. Present the call are Kurt Darrow, La-Z-Boy’s President and Chief Executive Officer and Mike Riccio our Chief Financial Officer. Kurt will open today’s call with some prepared remarks and then Mike will speak about some of the more unusual items this quarter. Following Kurt’s concluding remarks we will open the call to questions. As is our custom the time allotted for this call is one hour. In order to allow everyone an opportunity to ask questions please limit your questions to two and if you have follow ups you may reenter the queue. The telephone replay of the call will be available for one week beginning this afternoon. These regular quarterly investor conference calls are one of La-Z-Boy’s primary vehicles to provide guidance and to communicate with investors about the company’s current operations and future prospects. We will make forward looking statements during this call so I will repeat our usual safe harbor remarks. While these statements reflect the best judgment of management at the present time they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward looking statements made during this call. With that let me turn over the call to Kurt Darrow, La-Z-Boy’s President and Chief Executive Officer.
Kurt Darrow: I will begin this morning’s call with a review of the year and our quarter and then Mike will speak on several financial topics before I make my concluding remarks and discuss our guidance for fiscal 2009. Very little has changed in terms of the operating environment. Macro economic pressures prevail with consumers continuing to spend less of their discretionary income on home furnishings. For the year our sales were down almost 11% but we maintained our operating margins in our wholesale businesses. Due to its higher fixed cost structure our retail segment continues to be impacted most significantly by the economy and while we remove considerable costs from this business with a 14% decline in sales for the year the progress was not evident in our results. Before I speak about our fourth quarter let me take a few moments to discuss the operational and strategic highlights for the full year. These are tough times and accordingly we were required to make tough decisions this past year but they were the correct decisions for the business long term. In the beginning of the year we sold our Pennsylvania House and Clayton Marcus divisions. In evaluating our portfolio of companies we applied a three prong filter of size, profitability and strategic fit long term and determined we would divest both companies. Today we have six remaining wholesale companies and each one is profitable. On the manufacturing side of our business we further rationalized our upholstery capacity and closed three facilities during the year. Our Lincolnton, North Carolina La-Z-Boy Plant, our Stockton, California England Plant our Iuka, Mississippi Bauhaus Plant. We will close our Tremonton, Utah facility this first quarter. Additionally we essentially completed the implementation of cellular production across all La-Z-Boy branded facilities. The cellular process increases both speed and quality by reducing the cost of production. That impact was clearly evident in our fourth quarter results where we turned in an 8.3% operating margin on a 9% decline in sales versus a margin of 6% in last years fourth quarter. With the conversion project virtually complete we will realize its full benefit throughout all of fiscal 2009. This past April we announced we would consolidate all cutting and sewing operations for our La-Z-Boy branded business and move them to a new facility in Mexico. While we believe domestic manufacturing gives us a competitive edge in terms of the ability to deliver customer furniture quickly to the consumer we continue to look for ways to reduce costs and spread our risks over various countries and currencies. The Mexican production facility with its proximity to the US and inherently lower cost structure we’ll be able to rapidly supply our domestic plants with cut and sewn fabrics and leathers for customer order. The transition to Mexico will take place over the next 18 to 24 months and when complete we expect to realize cost savings in excess of $20 million per year with the full benefit beginning in fiscal 2011. We also streamlined our La-Z-Boy branded sales organization this past year by consolidating our sales force into 46 territories across North America. We decreased the number of sales representatives and related costs by 20% leaving us with approximately 100 sales associates. Another highlight for the year was the launch of the “Comfort It’s What We Do” marking campaign. With proprietary distribution a core focus for us, the humorous television spot set in our La-Z-Boy Furniture Gallery stores and are designed to communicate comfort as La-Z-Boy’s core brand equity while driving traffic into our network of stores. The commercial which have run consistently since last September are beginning to bear fruit as we are starting to see some improvement in store traffic. On the retail side of the business we completed the consolidation of our warehouses and IT systems removing significant redundant costs from the business. To ensure we are keeping this fresh and updated, three weeks ago we began testing innovative new interior store designs and merchandising plans through lifestyle displays and new product offerings in four Chicago based La-Z-Boy Furniture Gallery stores. Finally we strengthened our balance sheet by refinancing and paying down our debt by almost $50 million. At year end our debt to capitalization ratio stood at 18.8% compared with 23.8% at the end of fiscal 2007. In addition we carefully managed our inventory reducing it in line with the decline in sales. We continue to aggressively manage our business working to control all we can in this environment to position La-Z-Boy for the long term. Indeed we accomplished a lot in what was a challenging year. While we did incur significant costs to make the changes we are confident we made the right moves for our company, our customers and our shareholders long term. Now let’s turn to a brief discussion of the fourth quarter. On the wholesale side of our business upholstery sales declined 8.9% and case good sales fell 24%. As I mentioned earlier the operating margin for the upholstery segment was 8.3% demonstrating the success of the many cost reductions we have made including the conversion to cellular. Our case goods business continues to be more challenged given its sales are primarily to mid to smaller sized retailers who in this environment are more cautious about their inventory levels and marketing spend. At the Spring Furniture Market however several of our case good companies introduced products that were more unique in nature and they were all well received and placed at retail. We continue to identify ways to reduce costs and strengthen our supply chain. At the same time we have increased our focus on innovation across the company starting with our products and carrying it through the rest of our business including finding new ways to get the customers attention with creative merchandising techniques and compelling promotions. We are developing the processes and dedicating the resources to ensure we are able to deliver a regular drum beat of innovation in the coming months and years. In our company owned retail segment we posted a $12.6 million loss in the fourth quarter on a 10% decline in sales compared with last year’s comparable quarter. Approximately 6.5% of the 10% decline was the result of exiting the Pittsburgh, Pennsylvania market. As I mentioned earlier during the quarter we did complete the consolidation of our warehouses and IT systems. We also closed one underperforming store and relocated two. In addition to the top line pressures this quarter we aggressively reduced discounted prices, inventory that accumulated as the result of the warehouse consolidations and the stores that we closed or relocated. We have removed considerable costs from our retail segment but to make this business profitable we need to drive the top line in every person in our retail organization is focused on that objective. Now that most of the work is complete relating to the back end of our operations our team is focused on the front end so that we can increase our close ratios and increase the average ticket for every customer. Clearly our results are not satisfactory and we are committed to making a meaningful improvement in them even in this difficult environment. The test format that I spoke of earlier is one of the many steps we are taking to increase traffic and sales. For example, we are testing whether people prefer to shop by lifestyles or by rooms and have rearranged our floor plans accordingly. We are also testing expanded lines of accessories which are playing a pivotal role in these stores as accessories not only increase the average ticket but drive repeat business. We’re improving our point of sale materials to include more information for the customer using sleek signage and tagging that is more in keeping with the newer modern test format look. We are working to make our recliner displays more interesting by reducing the number of styles on the floor and increasing the variety of frame and fabric combinations. Finally we have added more color to the floors to break away from the sea of neutral tones that are prevalent today throughout the industry. The initial consumer response has been favorable but it is too early to make any conclusion on our actions going forward. I will now turn the call over to Mike Riccio our Chief Financial Officer.
Mike Riccio: I will take a few minutes to review some of the financial highlights for both the quarter and the full year. For the quarter we reported net sales of $368 million and a loss from continuing operations of $4.5 million for a loss of $0.09 per share. These results included a $0.04 per share restructuring charge which relates primarily to the pending closure of our Tremonton, Utah facility. Our results also include a $0.07 per share charge associated with the make-whole premium on our private placement notes which were paid off as part of the new credit agreement entered into in February. Also during the fourth quarter one of our VIEs has a partial write down of goodwill and a favorable litigation settlement. For the full year on sales of $1.5 billion we reported a loss from continuing operations of $7.5 million or a loss of $0.15 per share. Our results include income per share of $0.09 related to the proceeds from the anti-dumping monies, a $0.10 per share restructuring charge relating to the closure of our Lincolnton facility, several retail outlets and the pending closure of our Tremonton facility. A $0.10 per share intangible write down related to the goodwill in the Southeastern Florida market and for one VIE and then the $0.07 per charge associated with the make-whole premium. As Kurt mentioned earlier we paid down our debt substantially this year with most of it being paid down in the fourth quarter. Year over year our debt declined by $47 million which is in addition to paying $6 million for the make-whole premium and $2 million in financing costs. Additionally a portion of decline in debt was due to cash received at the end of last year for property sales that were utilized to pay down debt after the refinancing. However we also reduced our inventories by over $19 million during the year. Our tax rate continues to be impacted by various adjustments relating to valuation reserves, changes in our cash surrender of life insurances and foreign tax issues. Due to our lower income levels these adjustments have a larger impact on our effective tax rate for the current year. We still believe that our ongoing income tax rate will be in the 38% to 39% range. Due to our expansion into Mexico and our IT related upgrades we do believe that capital expenditures will be slightly higher than our depreciation and amortization in fiscal year 2009. Depreciation and amortization will be in the $24 to $25 million range in fiscal ’09. I thank you for your time this morning and I’ll now turn the call back over to Kurt.
Kurt Darrow: To conclude we believe the macro economic conditions will continue to be difficult throughout much of fiscal 2009. Accordingly every strategic decision we make is with the objective of managing the business for the long term and garnering strength across all three business segments. We are working to build our business to run more like an integrated retailer with innovation at the forefront and a focus on servicing the customer to an excellent retail experience with superior and efficient manufacturing. Looking ahead throughout fiscal ’09 we will improve our cellular efficiencies, startup our Mexican cut and sew operation and improve our speed to market on custom orders. We launched our e-commerce sight last week and are selling La-Z-Boy furniture over the internet with order fulfillment and service provided by our local furniture gallery dealers. We believe this business will build momentum as more and more consumers shop online but importantly it will also encourage customers to visit our stores. In our retail segment we will continue to expand our warehouse operations throughout North America to service our entire dealer network. Specifically in fiscal 2009 we plan to consolidate approximately a dozen independent dealer warehouses and over a three to four year timeframe anticipate having the ability to service all of our stores with 10 to 20 strategically located warehouses which will be placed some 85 to 100 currently operating in our system today. Additionally we will offer our retail IT system to all of our independent furniture gallery dealers. By providing these services to the dealer network they will be able to focus on the front end of their business while we help to manage the back end. We also anticipate making changes to our retail format based on the retail learning’s garnered from both the research we have done this past year and the test stores that we’ve opened in May. In fiscal 2009 our plans are to open only one new store and relocate two in the company owned retail segment. Our main focus for the year will be on store execution and improvement of our top line performance. In terms of our outlook for fiscal 2009 we anticipate a challenging year at the macro level. As we experienced in fiscal 2008 due to the seasonality issues and the way in which our fiscal year rolls out, the May through April timeframe we expect the back half of the year to be stronger than the first half. For the full year we anticipate sales for fiscal ’09 to be down 3% to 7% and earnings per share to be in the range of $0.15 to $0.25. Our guidance does not include any restructuring charges, potential income from anti-dumping monies or any further affect from discontinued operations or the write down of intangible assets. We thank you very much for being on our call today and I will turn things over to Kathy to being our question and answer period.
Kathy Liebmann: We will begin the question and answer period now.
Operator: (Operator Instructions) Your first question comes from Todd Schwartzman – Sidoti & Company.
Todd Schwartzman – Sidoti & Company: A quick question about foam pricing, if you could walk us through what you saw during the quarter how things have looked in May and June as well?
Kurt Darrow: We are seeing price pressures on a number of raw materials typically steel and foam probably the two that have been most impacted. We are continuing to work with our suppliers trying to get some indication of where pricing is heading. It is continuing to go up with certain of our companies we have contracts that lock in a price for some period of time and other cases that’s not possible. The price continues to increase. I don’t want to give a number on it because it’s pretty volatile and changes. Most all of our raw material costs are going up, most of our companies took some price increases in the spring time or at the April market due to what’s happening with raw materials we may not have taken all that is going to be necessary for the year and we are reevaluating that at this particular time.
Todd Schwartzman – Sidoti & Company: I get what you said about the testing of the store layout alternatives, sleek signage and shift from neutral tones at stores. To me that all speaks to the consumers experience once she’s in the store and I’m wondering if once we come out of this housing slump things start to maybe turn up a bit, what does the furniture industry and La-Z-Boy’s retail network can do to get a consumer more excited about buying furniture, feel a greater sense of urgency to do so. My question is whether any industries or companies that you guys look to or can look to for inspiration in changing how you market to increase that sense of urgency?
Kurt Darrow: Our industry unfortunately has been losing share of disposable income over the last couple decades as people spend more money in other sectors. The industry has to do some things collectively from an awareness standpoint. They have to instill in the consumer that investing in their home and having a beautifully decorated home enhances the value of their lifestyles instead of just selling furniture as a commodity. It’s been very difficult to get the industry to move down a common path together. There’s some work going on by a couple of industry associations to move in this direction but we tried that a number of times in the industry and haven’t seen that happen. Our product is definitely a postponeable purchase and until we connect on a more emotional basis with the consumer we’re probably going to continue to get the kind of results we have experienced in the past.
Todd Schwartzman – Sidoti & Company: Are there any role models for lack of a better word that you might look to, that maybe successfully dealt with similar marketing conundrum?
Kurt Darrow: I don’t know of any specifically off the top of my head but I do think there’s some industries that have come together with consoles and done some far reaching marketing programs that seem to have had an impact on the industry as a whole but we serve such a broad market and such a diverse market throughout the whole industry and so many different channels its hard to get everybody on the same page.
Operator: Your next question comes from Chad Bolen – Raymond James.
Chad Bolen – Raymond James: A quick housekeeping question, the $0.15 to $0.25 guidance is excluding items is it still your expectation for $9 to $10 million of pre-tax restructuring in fiscal ’09?
Mike Riccio: We announced back in the fourth quarter that our restructuring its going to be over a two year period some of that restructuring. It really depends on how quickly we get some things going in Mexico, how some of those things change. We’re trying obviously to alleviate any of those expenses. I think we’ll be somewhere in the $0.07 to $0.10 range for restructuring this year if I had to put my guess out there. It really just depends on how we transition things and what happens in the market and how our sales go with our other businesses. If our sales continue where we’re forecasting we’ll have one number. If they go down we’ll have another. That’s why we give a range at the beginning of the year.
Chad Bolen – Raymond James: Obviously there’s a certain amount of uncertainty, should we still be modeling some spill over into ’10?
Mike Riccio: Yes, that would be a definite. It won’t be as significant but there will definitely be some spill over as we complete the transition from domestic to Mexico.
Chad Bolen – Raymond James: By my pencil gross margin on a normalized basis improved about 160 basis points year over year. Could you walk me through some of the puts and takes there? What was the impact of the inventory discounts for the warehouse consolidation, the store closures and what impact did pricing have on the margin?
Kurt Darrow: I don’t know that we’ll go into all the detail on gross margin by segment but obviously the one segment of our businesses gross margins were down for the quarter was retail. As we said in our press release we decreased our inventories over 15% during the period when our sales were down 10%. Obviously we were very aggressive there. There was very little pricing, there was some carry over pricing from a year ago. The larger price increases that were put into effect were put in effect in the spring in the March/April timeframe and didn’t has as major of an effect on our margins as we will see the kind of pricing that we have to get in this environment with rising raw materials will become more significant as we move forward.
Mike Riccio: When our 10-K gets filed in the next day or two we’ll have some clarity on that. We had some price increases from last April that will flow into this year. It’s a little over 1.5% change in our margin because of pricing.
Chad Bolen – Raymond James: Does your guidance assume that costs for raw materials as well as some of the pressures we’re seeing for finished imports, does the guidance assume that continues to go up through the balance of the year or are we assuming a flat line from where we are right now?
Kurt Darrow: It’s hard for us to predict where raw materials are going to be six months from now, throughout the summer to date raw materials are continuing to go up. The industry is at a point where we believe that most everybody as the raw materials continues to escalate we have to pass that on to the customer which is tough to do in these times but there are really not alternatives due to the magnitude of the increases, the fuel surcharges, things of that nature. We anticipate in our companies to stay at least neutral with the raw materials relative to the price increases that we take.
Mike Riccio: To clarify, the price increase number is for all the segments together it’s for the entire company, just to make sure we’re on the same page.
Operator: Your next question comes from Laura Champine – Morgan Keegan.
Laura Champine – Morgan Keegan: It looks like you clearly benefited from the shift towards cellular production in the quarter. What do you expect to see as a cost savings from that shift that just flows through in the next fiscal year and how much of that flows to the bottom line as opposed to getting offset by other cost increases?
Mike Riccio: When we get the full effect of cellular we talked about some where being $20 million. We obviously had some of it this year. It’s hard to sit there and put it down to a number. We obviously have inflation for price increases, we’ll have the labor increases that we normally have and just normal costs that we have going forward in our business. It’s hard to predict exactly we’ll have ‘x’ amount of dollars coming in just on this. We expect to see if it’s over $20 million in excess we’re completing it now. We would expect to see some range of, what do you think Kurt?
Kurt Darrow: The difficulty of that answer is our original estimate was on a volume that we’re now 10% to 15% less than that. We’ve been going through this process for two and a half years so the benefit is that the finalization of our two largest plants happened in the back half of fiscal ’08 and that should play into our benefit in fiscal ’09. We’ve received incremental benefit all the way through the process and I would say that probably we have the opportunity to have 20% to 25% of the total savings not recognized in last year and it flow over to next year but on a lower volume base than we originally anticipated when we calculated the savings.
Laura Champine – Morgan Keegan: We’re hearing some pretty negative checks in the industry around Memorial Day. Do you think that May and June to date are improving or showing a steeper decline relative to the April timeframe?
Kurt Darrow: March and April were very difficult. In our industry has to figure out a way to do business in the major holidays. The concern there is we’re conditioning the customer to shop only on the major holidays because that’s when we offer our strongest offers, our best financing and I think the jury’s out on whether we’re creating new business or compacting a lot of business into a short period of time and then have the down cycle right after that. We don’t have any real solid numbers for the first part of June as far as what’s going on in our business specifically. I think you’re looking at it correctly, I think you have to look at a six or eight week period both before and after the holidays to gauge whether you really created new demand or just shifted it. That’s certainly how we’re looking at it.
Laura Champine – Morgan Keegan: In this period it does look like it just shifted it, am I reading it right?
Kurt Darrow: For us it’s too early to tell but that’s been the pattern in the last couple of holidays.
Operator: Your next question comes from John Baugh – Stifel Nicholas.
John Baugh – Stifel Nicholas: I wanted to focus on the case goods side. You got that business largely to a variable expenses business but I assume there is still some level of fixed cost or at least salaries. With volumes down we saw the 24%, we saw the margin come in a bunch. Refresh for me the fixed costs nature of that business and if we anticipate volumes being down in that magnitude and into fiscal ’09 what happens on the EBIT line of case goods?
Kurt Darrow: One of the things you must remember that although we have a primary import model in our case goods business we still have two remaining facilities. A lot of the variability in our operating margins in that segment has to do with how well we can run the plants, how many orders we have for domestic production, how much down time we have with our workers. It’s not a pure flex because of an import model. To refresh your memory we operate on the front side of our case goods companies, we operate independently, in other words they have different marketing, a different sales force, and they go to market differently. All the back side costs, the sharing of a lot of the warehousing, importing, our global team in China, accounting all that is a shared service. We want them to be different externally, we want them to share all the things that can be shared behind the scenes and we’re doing that. The biggest variable, with the price changes that are happening in Asia there may be some benefit to us to have the ability to have higher production as we go through 2009 in our remaining case goods plant we’ll just have to see. I think that’s the factor that changes significantly quarter to quarter and our earnings projections for that segment.
John Baugh – Stifel Nicholas: Jumping to the retail side I recognize that revenues are likely to continue to fall particularly in the first half. If we assume for the moment that revenues were flat in ’09 fiscal versus ’08 in the retail company owned segment what level of costs that were incurred in the $40 million segment EBIT loss in retail that aren’t expected to recur in fiscal ’09? You touched on the IT and the warehouse consolidation it sounds like you moved a lot of inventory at an extremely low gross margin in the fourth quarter. Any kind of feel for, under that scenario I realize that revenues took a fall so you likely won’t see all those savings, any kind of feel for that?
Kurt Darrow: I’m not sure I want to quantify that numerically but I would tell you that there were a lot of extra costs in the consolidation processes and the IT conversions. Importantly a lot that also took the focus from the retail team away from stores, the customer, dealing with what we need to do day to day. I would also add that our warehouses were intentionally designed initially to have more capacity than our own retail group needs and as we bring in more independent dealers into those warehouses and charge them the appropriate percentage of our expenses there that’s another cost our retail business is burdened with right now. Suffice to say as we said in our prepared comments that we believe there is some more costs not a huge amount but there are more costs and more margin opportunities for our retail division even on flat volumes. I’m not going to quantify that today for you but it isn’t our intention to not have other opportunities here to deal with if we can’t grow the top line.
John Baugh – Stifel Nicholas: Blended interest rate on the current debt balance roughly?
Mike Riccio: I think we’re down around 5% range give or take, 5% to 6%. It depends on whether or not the Fed starts raising rate again. We’re pretty floating now but we’re down to 5% to 6% I would say right now on our debt levels.
Operator: Your next question comes from Matt McCall – BB&T Capital Markets.
Matt McCall – BB&T Capital Markets: Interesting comment a minute ago with the rising costs associated with imports from China. You were talking about your case goods capacity that remains in the US. How close are we to making that make more sense? Is that something that’s becoming more a possibility then what type of capacity did you have remaining in North America?
Kurt Darrow: I’ll answer your last question first; we’re running our case goods factories below 50% capacity utilization. We have significant capacity that we have remaining in our facilities. The combination of the price increases, the cost of transportation from Asia, and the inventory commitment needed to be made to direct import all those are factoring in. I’m not predicting a major shift overnight but I am hearing from our customers a little bit of a balanced approach to thinking about some domestic production as compared to from Asia. Your guess is as good as mine as the costs continue to escalate in China and the freight costs continue to escalate the competitiveness between the two areas narrow. Most retailers look at, there’s got to be a compelling, 10%, 15%, 20% advantage to foreign sourcing over domestic to tie up their capital to take the obsolescence risk, all those things. If that continues to narrow they keep looking at. Our lesson here is, it plays into what part of our strategic decision in Mexico given what’s going on in the world we don’t think any one model, any one country, any one currency today you can put all your eggs in one basket because of the changing environment. We like the fact that we have some options and we think spreading the risk around Asia, Mexico, North America, all those things makes some sense for us as the world continues to change.
Matt McCall – BB&T Capital Markets: Going back to the 10% to 20% cost advantage what would you estimate that cost advantage to be based on all those price pressures you just discussed?
Kurt Darrow: It’s different by product segment, its different by category. It would just be a range and a guess at this point. I know our case goods team is much more up to date on that and is watching it. What you typically see, this is why your question is a little hard to answer. What you typically see is historically, this has changed in the last six months, historically our Asian partners don’t raise their prices on existing groups but you start to see the big differences in their cost structures when they go to price new groups. They realize they’re being the eight ball and they have to change accordingly. I think that’s where you’re starting to see all the pressures they’re having and what’s happening in their pricing structure in Asia. Its yet to be played out yet but for the first time some conversation that there’s an opportunity there where a couple years ago it will never happen and everything should move overseas as fast as possible.
Matt McCall – BB&T Capital Markets: There’s been a lot of conversation in this call about the different margin opportunities next year. I think you talked about some of the volume issues and how that may have affected some of your assumptions. Can you talk about the IT consolidation, I think you quantified in the $9 million range, I think that was the initial goal for cost savings there? Is that also expected to be impacted by weaker top line?
Kurt Darrow: We said that we would get $6 to $9 or $7 to $10 million worth of costs out of the IT and warehousing consolidation together. We’re on track to deliver that once we get our independent dealers into our warehouse facilities and operate them at 100% capacity. I don’t expect any huge new expenditure relative to the IT systems for our own network going forward this year.
Matt McCall – BB&T Capital Markets: You mentioned that you felt like the advertising campaign was starting to bear fruit and that store traffic had shown some improvement. Can you add a little more color there what you’re seeing is it growth, is it not only traffic, is it close rates are up, anything more you can add?
Kurt Darrow: One of the things that I think is helping is I think its helping have more awareness to the breadth of product line that the company offers. I think its adding more awareness to the stores that we have operating across North America and presenting them in a very positive light. When we go to activate a promotion or a sale we’re beginning to be able to tap a broader audience. The only data point I can refer to right now that is a year ago through the first four months of the year we were down approximately double digit in sales and as we reported on our press release we were down 5% to 5.5% same store sales. The pace of decline, it’s not positive yet but the pace of decline is improving and we see continuing trends of that. We believe, it’s happening across the countries, the only thing that’s consistent about being across the country is our national marketing program. We believe that is one component of what’s making a difference for us going forward.
Operator: There are no further questions at this time. I will turn the conference back over to management for closing comments.
Kathy Liebmann: Thank you everyone. Should you have any follow ups I will be available to take your calls later today. Have a good day.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you all for your participation.